Operator: Greetings, and welcome to the Bright Horizons Family Solutions First Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michael Flanagan, Vice President, Investor Relations. Please go ahead.
Michael Flanagan: Thank you, Stephanie. Sorry, thank you, Stacy. Welcome to Bright Horizon's first quarter earnings call. Before we begin, please note that today's call is being webcast and recording will be available under the Investor Relations section of our website, brighthorizons.com. As a reminder to participants, any forward-looking statements made on this call, including those regarding future business, financial performance and outlook are subject to the safe harbor statement included in our earnings release. Forward-looking statements inherently involve risks and uncertainties that may cause actual operating and financial results to differ materially and should be considered in conjunction with the cautionary statements that are described and detailed in our earnings release, 2023 Form 10-K and other SEC filings. Any forward-looking statement speaks only as of the date on which is made, and we undertake no obligation to update any forward-looking statements. We also refer today to non-GAAP financial measures, which are detailed and reconciled to their GAAP counterparts in our earnings release, which is available under the IR section of our website at investors.brighthorizon.com. Joining me on today's call is our Chief Executive Officer, Stephen Kramer; and our Chief Financial Officer, Elizabeth Boland. Stephen will start by reviewing our results and we'll provide an update on the business. Elizabeth will follow with a more detailed review of the numbers before we open it up to your questions. With that, let me turn the call over to Stephen.
Stephen Kramer: Thanks, Mike, and welcome to everyone who has joined the call. We are really pleased with the solid start to 2024 and our performance in the first quarter. Revenue increased double-digits year-over-year, and earnings outperformed our expectations. With occupancy in our full service segment ticking up to greater than 60% globally and back-up use continuing its solid year-over-year growth trends we are tracking to deliver on our 2024 guidance. So to get into some of the specifics. Revenue in the quarter increased 12% to $623 million with adjusted net income of $30 million and adjusted EPS of $0.51 per share. In our full service child care segment, revenue increased 12% in the first quarter to $484 million. We launched six centers in the quarter, including client center transitions for Aflac and Rockefeller University. Enrollment in centers that have been opened for more than one year increased at a mid single-digit rate in Q1 and occupancy averaged more than 60%. The U.S. continues to see the strongest performance with high single-digit enrollment growth driven by double-digit growth in our younger age groups and mid single-digit growth in the preschool age group. The UK led our growth outside the U.S. While our centers in the Netherlands and Australia have had more limited expansion in enrollment, given they sustained higher-than-average occupancy levels over the last couple of years. Occupancy in the UK stepped up sequentially on mid single-digit enrollment growth. Although the operating environment continues to be challenging, I'm encouraged by the recent progress we have made to improve the efficiency of our center operations, specifically by retaining and hiring more Bright Horizons employee teachers and reducing our reliance on agency staff. While the UK remains a headwind to our overall full service profitability, I’m encouraged by the trends and the fundamentals and expect to see continued performance gains. Let me now turn to back-up care which delivered another strong quarter, growing revenue 16% to $115 million on solid utilization. We also continue to expand our client base with Q1 launches for Lincoln National, NXP Semiconductors and United Therapeutics to name a few. Traditional network use remains strong with the largest growth in our Bright Horizons owned and controlled supply. While Q1 is a seasonally lower use period for back-up care, the number of employees utilizing their care benefit was solid in Q1 and serves as a positive indicator as we look ahead to the higher use summer months. With this expanding participation by eligible client employees, combined with our broader portfolio of use sites, we continue to track to our 2024 growth goals. Our Education Advisory business delivered revenue of $24 million in the quarter, flat over the prior year. Notable new client launches in the quarter included Danaher, IPG Photonics and W. R. Grace. As we discussed last quarter, we expect participant levels and used to be relatively stable in this segment this year. We are making strategic investments in the team, product suite and marketing to transform both the service offering and the service experience. Ed advisory is a use-driven business, and I believe the investments we are making today will ultimately drive greater client adoption and client employee participation in 2025 and beyond. Before I wrap up, I want to share the results of our annual Modern Family Index that we are releasing next week. For the last decade, we have explored the sentiments of working parents as they balance work and their family responsibilities. What we have seen change over the last decade is working parent's new confidence in advocating for family supports as well as their increasing expectations of their employers. For 70% of employees, employer benefits would support a work-life balance are nonnegotiable. Childcare in particular was at the top of parents wish list trumping even remote work and increase flexibility. This new view of the relationship between employers and employees is vital for the health of families and employers and it is a clear warning signal for employers who do not invest in family supports. We are very proud to be the partner of choice for so many leading employers who are already ahead of the curve. In closing, I'm pleased with the strong start to 2024. We executed well in the quarter, and the results set a solid foundation for us to accomplish the goals we set for 2024. I believe we are well positioned to continue the positive momentum and operating discipline in Q1. As such, we are reaffirming our 2024 full year guidance. Specifically, revenue growth of approximately 10% to $2.6 billion to $2.7 billion and adjusted EPS in the range of $3 to $3.20 per share. With that, I'll turn the call over to Elizabeth who will dive into the quarterly numbers and share more details around our outlook.
Elizabeth Boland: Thank you, Stephen, and hello to everyone who's joining the call today. To recap the first quarter, overall revenue increased 12% to $623 million, adjusted operating income of $40 million or 6% of revenue increased 9% over Q1 of 2023, while adjusted EBITDA of $75 million or 12% of revenue increased 7% over the prior year. We ended the quarter with 1,044 centers, adding six new and closing 11 centers in the first quarter. To break this down a bit further, Full Service revenue of $484 million was up 12% in Q1 at the high end of our expectations on increased enrollment and tuition pricing. Enrollment in our centers opened for more than one year, increased mid single-digits across the portfolio. As Stephen mentioned, occupancy levels averaged over 60% from Q1 stepping up sequentially given the normal enrollment seasonality and the growth we saw. U.S. enrollment was up high single-digits and international enrollment increased in the low single-digits over the prior year. In the center cohorts we've discussed previously, we continued to show improvement over the prior year period. In Q1, our top-performing cohort, defined as above 70% occupancy improved from 35% of our centers in Q1 of 2023 to 44% of our centers in Q1 of 2024. In our bottom cohort of centers those under 40% occupancy now represents 14% of centers as compared to the high teens in the prior year period. Adjusted operating income of $21 million in the Full Service segment increased $11 million over the prior year. Higher enrollment tuition increases and improved operating leverage more than offset the $15 million reduction in support received from the ARPA government funding program in Q1 of 2023. As Stephen discussed, while the U.S. Full Service business continues to be a headwind to our overall segment profitability, we are seeing good progress in reducing the losses with improved staffing, continued enrollment gains and the ongoing center portfolio rationalization. Turning to back-up care. Revenue grew 16% in the first quarter to $115 million, a touch ahead of the high end of our expectations with adjusted operating income of $16 million or 14% of revenue. Adjusted operating margins in the quarter were affected by the closeout of the Steve & Kate's Camp earnout, which resulted in a onetime $2.3 million charge in the quarter and by the timing of quarterly overhead spending allocations. Our estimates of overhead support costs for the back-up segment for the full year is unchanged, but the phasing of these costs is reflected more ratably as the spending occurs, resulting in a relatively higher overhead allocation in the first half of the year as compared to the prior year, with the second half expected to see a relatively lower allocation as compared to 2023. Lastly, Educational Advising segment reported $24 million of revenue and delivered operating margin of 10%. The operating margins contracted over the prior year, driven in large part by the investments we are making in the team and the product suite. Interest expense increased $2.5 million to $14 million in Q1, excluding the $1.5 million per quarter in 2023 of deferred purchase price interest accretion that we've previously discussed. The structural effective tax rate on adjusted net income was 28.3%, roughly consistent with Q1 of 2023. Turning to the balance sheet and cash flow. We generated $116 million in cash from operations in the first quarter compared to $67 million in Q1 of 2023. We made success in investments of $19 million, consistent with the prior year period. And in early January, paid the remaining $106.5 million due for the Oak acquisition that had been deferred for 18 months. We ended the quarter with $64 million in cash and reduced our leverage ratio to 2.5x net debt to adjusted EBITDA. Now moving on to our 2024 outlook. As preview, we are maintaining our 2024 full year guidance for revenue in the range of $2.6 billion to $2.7 billion and adjusted EPS in the range of $3 to $3.20 a share. At a segment level, we expect full service to grow roughly 8% to 12%, back-up care to grow 10% to 12% and ed advisory to grow in the low single digits. As we outlined last quarter, there are two discrete items affecting our reported margins and earnings growth rates in 2024. Specifically, we expect those items to account for an approximately $0.52 to $0.55 headwind to growth for the full year reflecting lapping of approximately $34 million of ARPA funding for P&L centers that we received in 2023 and an estimated increase of $8 million to $10 million in interest expense for the year. As we look specifically to Q2, our outlook is for total top line growth in the range of 9% to 11% with full service of 9% to 11%, back-up of 10% to 12% and in ed advisory in the low single digits. In terms of earnings, we expect Q2 adjusted EPS to be in the range of $0.70 to $0.75 a share. Regarding the discrete items I mentioned above, we expect a $9 million headwind from the ARPA support we have received in Q2 of 2023 as well as approximately $2 million to $3 million more in interest expense than last year. So with that, we are ready to go to Q&A.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Your first question comes from Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Steinerman: Hi, I was really encouraged by the margin in full service. And I just wanted to kind of make sure that there wasn't anything that was kind of one-off-ish about it that it was sustainable and should improve from here?
Elizabeth Boland: Yes. Thanks, Andrew. We are encouraged as well by that. The performance in the quarter, both in the U.S. and a bit better in the UK than we had expected this early in the year. We have previewed that we expected the UK to be improving in 2024 against 2023, and that would have been – it's ramping in during the year. So there is a bit better performance from the UK. It's recurring and that we see that being sustained improvement as we go along. But I think that what you're seeing is solid performance there. One thing I would call out is as we are ratably distributing the overhead, as I mentioned in back-up, there's a little bit of a headwind to back up. There's a slight benefit to the full service segment, but a fairly small portion of that gain. Same overall expense for the year, but the first quarter benefited by something 0.5% or so.
Andrew Steinerman: Okay, thank you.
Operator: Next question, George Tong with Goldman Sachs. Please go ahead.
George Tong: Hi, thanks. Good morning. You mentioned that your occupancy rates are now over 60%. Can you provide your latest views on how you expect occupancy to play out over the course of the year, taking into account seasonality trends and where you hope to end the year by?
Elizabeth Boland: Yes. So as alluded maybe in your question, George, the first half of the year is a stronger portion of the year for full service enrollment. So we would expect to see some gain on that in the second quarter, improving enrollment in Q2 and then tapering some with the seasonality in Q3 and into Q4. So likely expect to – for the year being in the 60% to 65% range, but ending the year close to where we are at this stage. So tapering – growing a bit in Q2 and then tapering back a similar level to where we see in the first quarter.
George Tong: Got it. That's helpful. And then in the UK business, you mentioned that's still seeing some headwinds. Can you talk about some of the latest initiatives you've undertaken to try to improve performance there and what the timing would look like for when enrollment and occupancy in the UK can improve?
Stephen Kramer: Sure. So as Elizabeth just alluded to, we're obviously pleased with the progress that we are making. Certainly, 2023 was a particularly challenging year in the UK, and we put a number of actions in place that we said were going to take time to start to season in. Examples of that were recruiting efforts that really focused on enlarging our apprenticeship program, ensuring that we had a seamless candidate experience and really trying to move that to something that was a bit quicker and a bit more seamless for the candidate and then finally doing some international recruiting. And I think that what we saw in the first quarter is some of those actions really starting to benefit our ability to attract and retain the staff that we have and needed and then certainly starting to reduce the reliance that we had to a certain extent in our agency staff. So we continue those efforts. And then at the same time, what we’re finding is the macro environment there, especially on the labor side is starting to ease a little bit. And so I think it’s the combination of those two things that give us confidence that we’re going to continue to see good improvement through 2024 and into 2025.
George Tong: Got it. Very helpful. Thank you.
Stephen Kramer: Thank you.
Operator: Next question, Josh Chan with UBS. Please go ahead.
Josh Chan: Hi. Good afternoon. Thanks for taking my questions. Could you just talk about the conversations you have with kind of prospective customers, whether the tone has shifted on that front? And also whether your center openings and closing targets for the year has shifted much? Thank you.
Stephen Kramer: Sure. So I think the conversations with our perspective and current clients continue to be positive, specifically on the center side of our business, as we’ve shared in the last few quarters, there has certainly been an elevated level of interest, specifically in the centers. And the reality is that, along with that, has been certainly an elongated sales process. So while we’ve seen elevated interest certainly, employer clients are being even more deliberative about coming to a decision. I’d say a bright point in that, and we certainly saw this in the first quarter, is that some of that elevated interest is in the form of transitions of management. So four centers that are currently today self-operated, we are seeing, again, interest in examining the possibility of outsourcing centers that exist today are self-managed, often in health care and higher ed and at least considering the outsourcing. So I would say overall, positive, but on the other hand, certainly deliberative as it relates to timing. And we see that certainly in our current client base as well, which is our current clients are really pleased with the services that we’re delivering for them and believe that we will continue to see the kind of retention rates that we have enjoyed historically.
Josh Chan: Thank you for the color.
Operator: Next question Manav Patnaik with Barclays. Please go ahead.
Manav Patnaik: Thank you. Good evening. First question just on maybe a similar thing on the back-up side. Can you just talk about the underlying conversations, health, maybe pipeline? And maybe just remind us just the seasonality through the course of the year in terms of the back-up usage typically?
Stephen Kramer: Sure. So first, I’ll make the natural observation, which is we were really pleased with the performance of the first quarter. It was a touch above the high end of our estimate. So that’s a really positive way to start the year. As you alluded to, Manav, it is the smallest quarter in terms of use and revenue and so certainly, the comps in the second half of this year are stronger and off of a larger base. And so again, I think that it is prudent for us to stick with our guidance that we had in place. What I would say in terms of the existing client base and the pipeline, I think our existing client base continues to be strong and very committed to the services that we are delivering for their working parents. And then on the pipeline side, we continue to see good interest among a large cross-section of industries and employer size.
Manav Patnaik: Okay. And then maybe just the same thing on the margin side. There was a bit maybe like – so that earn-out payment that was just one-time for the year, I guess? Will you see that repeat? Just – I know you said you basically – it sounded like you said you pulled forward the expenses, but just wanted to get some comfort on whether for the full year, you’re still on track there.
Elizabeth Boland: Yes. The settlement of the earn-out was a one-time payment. So that’s all there is on that. It was a settlement of the deal that we had made on Steve & Kate’s in the early phases of COVID, it was a 2021 deal, we wanted to have alignment with the business performing and so structured the acquisition with an earn-out. And so came to a place where it was appropriate to settle that. So that’s behind us. And so it won’t affect the margins going forward. What we would expect to see more aligned to the, say, 20% range, in operating margin stepping up from where we would have otherwise barring that, we would have seen Q1 in the mid- to higher teens range, stepping up a bit in Q2 as the use begins to pick up toward the summer and then margins well over the 30% level in Q3 with the growth of the use and then this ratable alignment of overhead for the year. So that’s where you’ll see the back-up margins just more aligned to what you’ve seen in the past and still looking at margins for the year that are aligned with what we reported in 2023.
Manav Patnaik: Got it. Thank you.
Operator: Next question, Jeff Meuler with Baird. Please go ahead.
Jeff Meuler: Thank you. I’m sorry, I know you just gave some of this, but can you just be any more specific quantification by quarter on the overhead alignment or allocation changes and kind of the quarterly impacts for each of the segments?
Elizabeth Boland: So the – essentially, the view is that overhead is a fairly – we incurred on a pretty ratable basis throughout the year. It’s not a perfect 25% per quarter, but it’s closer to that than a revenue basis where we have the kind of seasonality that we do now with back-up sort of much more amplified in Q3 and even partially into Q2 compared to particularly Q1, so the effect is most outsized in Q1. It’s 300 basis points or so effect in Q1, where it’s a couple of hundred basis points in the second quarter, likely and then it reverses in the back half of the year. So that’s the same – again, same amount overall for the year. It’s just allocated differently to the quarters in the same amount, obviously, a quarter that we’re reporting actuals.
Jeff Meuler: Okay. And then just how big is the self-managed center market? And of that what is the, I guess, serviceable addressable market for you, meaning roughly what percentage of that market would you view as a potentially good fit for Bright Horizons to – that you’d be interested in managing them if you have the opportunity?
Stephen Kramer: Sure. So what we have identified, and we focus on sort of an addressable market where the size of the center, the quality of the center and the employer themselves would be appropriate for us is, I would say, low thousands, but is of significance. And typically, these programs have been in existence for quite a number of years. And so that’s why I really highlighted the fact that these are very deliberative in terms of decisions because, in many cases, these centers have been operated by, call it, the higher end institution or the health care institution for as much as 10, 20, even 30 years. On the other hand, I think that what we certainly saw in terms of transitions pre-COVID, in COVID and what we project going forward is an opportunity that certainly we are focused on, given the fact that like operators in general, it has been a difficult operating environment for a number of years. And so I think that there is more open-mindedness among employers where their core business is not running a childcare center for their employees. It makes sense for them to at least examine the possibility of working with experts like ourselves.
Jeff Meuler: Got it. And then I hear you that the younger cohorts are growing at a higher rate from an enrollment perspective than the older cohorts. But as it stands today, just how much is your mix kind of shifted towards the older cohorts versus what it was kind of pre-COVID just as we think through kind of the age out dynamic later this year?
Elizabeth Boland: So we’re actually slightly overweight in the younger age groups at the moment by slightly, I mean a couple of hundred basis points weighted toward the infant and toddler 2 group versus the older age group.
Jeff Meuler: Okay. Awesome. Thank you.
Operator: [Operator Instructions] Next question comes from Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Thanks so much. I remember last year in, I believe it was the second and third quarter, you benefited from the Steve & Kate’s Camp’s, and I know this wasn’t a 2023 deal, but could you just remind us, did you ramp up the marketing there? And what the reason was for that huge ramp in 2023? And I’m only asking from the perspective of it seems like the comp is a little bit tough, and I know you had guided earlier to being back to sort of more of a normal growth range and back up for next quarter. But just wanted to make sure I remember the dynamics of what went on in second and third quarter of last year with regard to the camps.
Elizabeth Boland: Yes. So I can – let me start, Toni, and maybe Stephen add some color. I’ll just double check some of my specific statistics here. But Steve & Kate’s brought in a – they have been a partner of ours prior to the acquisition, and they provide camp programs typically in the summer and then for us, in addition in break times and throughout various off days or particular pop-up arrangements where we can deploy a school age type program for older children kindergarten through younger school or younger to middle school. So it opened up an opportunity to serve more children. And with the expansion of the capacity for that kind of a use case and a provider expansion from both having them with us opening more camps than they had operated and then being able to provide that in other venues besides just in the summer camp timeframe. We’ve been able to expand that school age type programming in a broader way as an additional use case. So we did see with the – it’s concentrated in the summer, but with those programs coming into their second to third year after the acquisition maturity, if you will, there was an opportunity to serve more families that way. We also, last year, had more use from other care types as well. We had introduced pet care in the latter part of 2022. And so that was also seeing good uptake from a number of our clients who introduced it as a new use type that opened the door to many new users who may not have ever used back-up care before. It’s also an intermittent use case. And then also academic tutoring continue to be an opportunity for parents who had school agers to access both virtual and we also introduced in-person tutoring. So there were a number of incremental use cases that were available last year in maybe a more robust fashion that drove some of the back-up use. But as you say, we’re stacking by the back-up of this year, we’re stacking pretty robust two-year growth rate in back-up, which we know each year, we’re replenishing the back-up use. We’ve got a lot of happy users who return, but it’s something we’re cognizant of in terms of making sure that we’ve got the network, the provider, the use cases, et cetera, to deliver on the kind of growth we’re talking about.
Toni Kaplan: Yes. Makes sense. And then just wanted to ask about the M&A pipeline. Are you starting to see any more willingness from small providers to sell given the ARPAs behind us now? Any just commentary on how the pipeline looks and your appetite for M&A? Thanks.
Stephen Kramer: Sure. Thanks, Toni. So I think that we are still early in that curve. ARPA ended September of 2023. We have always sort of forecasted that this would be sort of a 12 to 24 months from the end of ARPA before owners started really making either decisions or different decisions than they otherwise would have made. I would say in terms of being really specific about the acquisition pipeline, I would say that we continue to cultivate those relationships. We continue to look at some smaller opportunities, especially where we are looking to densify near high-performing centers. And so overall, it’s definitely a part of the growth algorithm. Although again, at this point, we continue to be very focused on continuing to enroll within our existing centers and moving ahead on that front.
Toni Kaplan: Super. Thanks.
Operator: Next question, Jeff Silber with BMO Capital Markets. Please go ahead.
Jeff Silber: Thanks so much. You talked a little bit about what you’re doing from a labor perspective in the UK. I’m just curious if you can address what’s going on in the U.S. in terms of labor supply availability and wage inflation?
Stephen Kramer: Yes. So I would start by saying we’re really pleased with the retention rates that we are achieving here in the U.S. So again, in the depths of COVID, that was a real challenge in terms of our ability to retain and therefore, the need to attract more new staff to Bright Horizons so we still continue at a level that is stronger than what we enjoyed even in 2019. So for me, any conversation around talent starts with retention and feel really good about where we are from that perspective. In terms of the labor market, there are still pockets of – sort of heat pockets in the country where it is still challenging to recruit the full complement of staff that we would like to have. On the other hand, broadly, we feel good about the progress that we continue to make here in the U.S. And then in terms of wage rates, I think that we feel really differently than we felt again in the depths of COVID when we needed to accelerate wages in a more significant way. It feels like we are now in a place where we are paying really competitively and therefore, at this point, expect that wage increases will be much more in line with what we had seen previously as opposed to significant stepped-up basis that we incurred in the depths of COVID.
Jeff Silber: Okay. That’s helpful. There was an earlier question about center closures and forgive me if I missed the answer, but I think the question was about your goal for center closures this year. I think you had previously said it will be the same as last year. Is that still the same? And are they skewed to any specific geography? And if they’re more in the U.S., is there any specific region? Thanks.
Elizabeth Boland: Yes. So we would still expect to be in the range of what we closed in 2023. We closed 49 centers last year, so still in that range. Some disproportionate skewed to the UK could be – the UK is not 40% of our overall business, but they certainly could be 40%, 45% of those closures. But there are still some underperformers in the U.S. that we are looking at addressing in the same way that we’ve talked about rationalizing the portfolio in the UK. So those are the two geographies where we’re seeing the more outsized closures. And that – there’s no particular – we closed 11 this quarter, so there’s a cadence that we’re following that gets overall performance when the leases are up, what we can exit and the timing of all that prepared.
Jeff Silber: Okay. That’s really helpful. Thanks so much.
Elizabeth Boland: Thank you.
Stephen Kramer: Excellent. All right. Well, thank you all very much for your time. We appreciate it, and look forward to seeing you soon.
Elizabeth Boland: Thanks, everyone. Have a good night.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time, and thank you for your participation.